Jason McGlynn: Good morning, and welcome to the Amplify Energy conference call to discuss operating and financial results for the second quarter of 2022. Joining me on the call today is Martyn Willsher, Amplify's President and Chief Executive Officer. Before we get started, we'd like to remind you that some of our remarks may contain forward-looking statements, which reflect management's current views of future events and are subject to various risks, uncertainties, expectations and assumptions. Although management believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to be correct and undertakes no obligation and does not intend to update these forward-looking statements to reflect events or circumstances occurring after this earnings call. Please refer to our press release and SEC filings for a list of factors that may cause actual results to differ materially from those in the forward-looking statements made during this call. In addition, the unaudited financial information that will be highlighted here is derived from our internal financial books, records and reports. For additional detailed disclosure, we encourage you to read our Form 10-Q that was filed yesterday afternoon. Also, non-GAAP financial measures may be disclosed during this call. Reconciliations of those measures to comparable GAAP measures may be found in our earnings release or on our website at www.amplifyenergy.com. During the call, Martyn will provide an update regarding our assets in Southern California, followed by our second quarter highlights and revised full year guidance. I will then discuss the second quarter results in greater detail and provide an update to our hedging program and balance sheet and additional details regarding guidance for the remainder of the year. Martyn will conclude our prepared remarks with comments regarding performance during the quarter, current projections and strategic goals. We will then have a question-and-answer session before concluding this call.
Martyn Willsher: Thank you, Jason. I would like to start by providing a brief update regarding our Southern California assets. As discussed earlier this year, the company is required to obtain approvals from PHMSA and the Army Corps of Engineers in order to proceed with the permanent repair of the pipeline. In mid-April, we received PHMSA's approval for the permanent repair plan, and we are continuing to work cooperatively with the Army Corps of Engineers to obtain the remaining permit. Although we cannot predict when we receive approval from the Corps, we expect that within 3 to 4 months from the approval date, we can complete the PHMSA-approved repairs, satisfy the regulatory requirements and safely inspect, test and restart the pipeline and return the platform's production. Now on to the quarter. Production for the second quarter averaged approximately 20,400 Boe per day, which was flat compared to the prior quarter despite 10 days of downtime for annual facilities maintenance at Bairoil. Second quarter adjusted EBITDA was approximately $16.3 million compared to $24.9 million in the prior quarter. The decrease was primarily attributable to timing variances regarding the recognition of LOPI insurance proceeds related to the incident at Beta, partially offset by higher commodity prices. For the second quarter, the company recognized $8.8 million of LOPI proceeds, which represents 2 months of LOPI payments compared to $17.5 million or 4 months of LOPI payments for the prior quarter. Capital spending during the second quarter was approximately $13.5 million, primarily related to development activity in East Texas and the Eagle Ford, workover activity in Oklahoma and facilities maintenance at Bairoil and Beta. Second quarter CapEx was higher than forecasted due to the timing of development activity in East Texas where our operating partners brought 3 wells online ahead of schedule. Free cash flow, defined as adjusted EBITDA less CapEx and cash interest expense, was negative $600,000 in the second quarter and primarily impacted by the timing of LOPI recognition and the accelerated capital expenditures previously noted. Due to the success of our workover program in Oklahoma and the initial outperformance of our development projects in East Texas and the Eagle Ford, we have increased full year 2022 guidance. The midpoint of production guidance increased from 19,750 to 20,750 Boe per day, and the midpoint of adjusted EBITDA increased from $97.5 million to $105 million. In addition, we are now projected to generate $220 million to $330 million in cumulative free cash flow through December 31, 2024. Now for an update on our operations. In Oklahoma, we continue to run a 3-rig workover program focused on returning offline wells to production and artificial lift optimization. As previously disclosed, the artificial lift program is focused on rod lift conversions and ESP optimizations, which reduce future operating expenses and operational downtime. As a result, Oklahoma production increased approximately 8% in the second quarter from 6,100 to 6,500 Boe per day. For the remainder of 2022, we expect to continue the pace of workover projects to bring additional wells back online and to manage our cost profile to drive incremental free cash flow. In East Texas and North Louisiana, we remain committed to efficiently managing production and costs while pursuing high-return workover and joint development projects. The company participated in 3 gross 0.6 net non-operated development wells, which were brought online ahead of schedule in the second quarter and preliminary production results have been encouraging. We continue to evaluate additional non-operated development opportunities in the area and intend to participate in high-return projects to manage our production profile and generate incremental free cash flow. In the Eagle Ford, the company's operating partners completed 7 gross 0.4 net new development wells during the second quarter, and initial production rates from these wells have exceeded projections. We intend to participate in additional development projects with comparable return profile in the second half of '22, which are projected to be online in the first quarter of 2023. In addition, we participated in a refrac project in the second quarter that utilize the latest technology and completion methods. And initial production rates from this well have materially outperformed our internal type curves. The economic returns for this project have been substantial due to higher work interest in this legacy well, which is approximately 20%. As a result of the outperformance of this project, we expect similar projects of this nature to be formed in the future. At Bairoil, we completed the annual turnaround during the second quarter, which is a 10-day field-wide shut-in to perform production facilities maintenance on time and on budget. The technical team's proactive approach to maintenance in conjunction with our continued evaluation of the reservoir help improve production performance and operational reliability while facilitating CO2 injection and water alternating gas pattern optimization. Lastly, based on positive results from recent workover and well stimulation activity, we are allocating incremental capital in the second half of the year for additional workover projects. I will now turn the call over to Jason to provide a detailed review of our financial and operational results.
Jason McGlynn: Thank you, Martyn. Production for the second quarter averaged approximately 20,400 Boe per day with a commodity mix of 30% oil, 19% NGLs and 51% gas. Total oil, natural gas and NGL revenues in the second quarter were approximately $112.9 million before the impact of derivatives compared to $93.9 million in the first quarter. Other revenues were $8.9 million for the quarter compared to $17.6 million in the first quarter. The decrease in other revenues was primarily related to the timing and recognition of LOPI proceeds Martyn noted previously on this call. As discussed during our prior earnings call, Amplify's LOPI insurance policy is effective for 18 months following the date of the incident. And the company will continue to receive payments until the earlier of the expiration of the policy or Beta is returned to full production. Lease operating expenses for the second quarter were approximately $33.3 million or $17.91 per Boe, a slight increase from $32.9 million or $17.92 per Boe in the first quarter. GP&T this quarter was $7.3 million or $3.92 per Boe compared to $8 million or $4.36 per Boe in the first quarter. As previously noted, the company is now marking its natural gas in Oklahoma, resulting in a reclassification of certain revenue deductions to GP&T expenses. By taking our gas in kind in Oklahoma, the company has greatly improved its natural gas pricing differential, which exceeds the related increase in GP&T resulting from the accounting reclassification. Production and ad valorem taxes this quarter were $8.6 million or $4.64 per Boe compared to $7.6 million or $4.11 per Boe in the prior quarter. This increase is largely a function of higher revenue from improved commodity pricing. Second quarter cash G&A totaled $7.7 million or $4.16 per Boe compared to $7.1 million or $3.87 per Boe in the first quarter, primarily due to onetime increase in certain professional and adviser fees. Adjusted EBITDA in the second quarter totaled $16.3 million, a decrease of approximately $8.6 million from $24.9 million in the prior quarter. The decrease in the second quarter was attributable to the recognition of LOPI payments previously discussed, partially offset by higher commodity prices. Cash capital spending for the second quarter was approximately $13.5 million, an increase of $6.6 million from the first quarter of 2022. The quarter-over-quarter increase was primarily attributable to non-operated development activity in East Texas and the Eagle Ford, accelerated workover activity in Oklahoma and facilities maintenance at Bairoil and Beta. As reflected in our updated guidance, we expect capital spending to be lower than the second half of 2022. Free cash flow for the second quarter was negative $600,000, primarily related to the increased capital spending discussed on this call and the differences in LOPI payment recognition during the first and second quarters. Now to our hedge book. With our workover programs and non-operated development activity exceeding production forecasts and the scheduled roll-off of our hedge book, our commodity hedge position has stepped down materially from the first half of the year, which will enable the company to capture upside in the current commodity price environment. We are approximately 65% hedged for the balance of 2022 and 50% hedged in 2023 across all commodities. Our crude oil production is approximately 75% to 85% hedged for the remainder of the year and 40% to 50% hedged for 2023. On the gas side, we are approximately 70% to 80% hedged for the balance of 2022 and 60% to 70% hedged for 2023. Lastly, as a reminder, when we return the Beta field to production, those crude overall volumes will be completely non-hedged, which may provide additional upside depending on prevailing prices. Moving on to our balance sheet. On June 20, we successfully completed the spring borrowing base redetermination, which terminated the automatic monthly reduction of the borrowing base and affirmed it at $225 million. The next redetermination is expected to occur in the fourth quarter of 2022. As of July 31, Amplify had net debt of approximately $185 million consisting of $215 million outstanding under our revolving credit facility and $30 million of cash on hand. For the remainder of 2022, we'll continue to allocate the majority of our free cash flow to improving our balance sheet and reducing our total debt outstanding. On to guidance. As detailed in our earnings release last night, we have again increased our full year 2022 guidance ranges for production and adjusted EBITDA. As a result of the performance of our workover activity and non-op development projects, we increased the midpoint of our production guidance by 5% to approximately 20,750 Boe per day and we've also increased the midpoint of our adjusted EBITDA guidance by 8% to $105 million. Additional guidance details were provided in our earnings release yesterday and can be found in the latest investor presentation currently available on our website. As a reminder, due to uncertainty regarding Beta's return to production, our guidance does not assume Beta is back online in 2022. I will now turn the call back to Martyn.
Martyn Willsher: Thank you, Jason. The current commodity pricing environment, coupled with strong operational performance, has allowed us to pursue additional projects across our asset base that have increased production and cash flow generation. We believe that these projects demonstrate our commitment to prudent stewardship of capital, mitigation of operational risk and generation of free cash flow, which will advance the delevering of our balance sheet and drive shareholder value. We continue to believe that we remain substantially undervalued in the current market due to our significant reserve value and projected free cash flow generation. Our 2021 year-end total proved reserves have a PV-10 value of approximately $1.2 billion at strip pricing as of July 29, 2022. And our forecasted free cash flow through year-end 2024 is approximately $220 million to $330 million, which is approximately 50% to 75% of our current enterprise value. I would like to conclude by reiterating that safety continues to be our highest priority. We remain committed to operating safely in a manner that ensures the well-being of our employees, business partners and stakeholders and the protection of the environment in our surrounding communities. Our dedication to safety, environmental stewardship, operational excellence, disciplined capital allocation and delevering efforts have demonstrated our ability to drive substantial long-term value for all of our stakeholders. With that, operator, we are now open for questions.
Operator: [Operator Instructions] Our first question will come from John White with ROTH Capital.
John White: Congratulations on the nice results and the increased guidance. I know you probably can't offer any more detail, but are you getting any kind of signaling from the Corps of Engineers on when they might deliver their decision? Are they indicating that would be in 2022? Or is that more of a first half 2023 event?
Martyn Willsher: No. We still believe that this is going to be a '22 event. And while there's no tangible progress in terms of seeing the permit online, we've -- there's a lot of things going on behind the scenes. And we've made -- we've very much made progress with the Corps and the NMFS, which is the other remaining regulatory agent involved in kind of that process. So we're hoping to move this along sooner rather than later. We just don't have any specific control over the timing. Obviously, this has been an 8-month process to this point. So we're -- they have definitely taken their time and they're dotting their Is, crossing their Ts, and understandably so. But like I said, I think we're making progress towards a resolution here, and we'll hopefully get more to come very soon. We've also made progress on spending capital on Beta as we start and make preparations for eventually coming back online. So you're starting to see a little bit of that as we progress as well.
John White: Well, okay. I'm sure it's frustrating. And it sounds like you've done all you can. Any updates on the lawsuits against the shipping companies?
Martyn Willsher: They're proceeding. There's what we would call motion practice. There's a lot of moving pieces. These are very large shipping companies with ships in one jurisdiction, owners in another jurisdiction and operators in a third jurisdiction. So there's a lot of paperwork flying around. So no specific progress per se, but we are continuing to move along. There are some important hearings coming up in the coming weeks. And so we will continue to make the progress as fast as we can. But obviously, once you get into these kind of litigation situations, they can tend to drag out a little bit on -- especially with the ships.
John White: Understood. And good luck on that. And one more follow-up, if I may. On the revolving credit facility, congratulations on getting rid of the automatic monthly reductions. And on your next borrowing base redetermination in 4Q, is that when you think you'll move for an extension of the maturity?
Jason McGlynn : Thanks, John. Yes, we're really happy with the results that we had on the spring borrowing base redetermination that was done in Q2. And it's a conversation that we've continually had with the bank group, even going back to late last year after the incident about the maturity that's coming up and how is the best way to go about addressing that. And we are in conversations with the group along those lines and seeing what is available to us, but we're also looking at a number of different items. It's a key focus of mine and Martyn's for the next quarter and rolling into Q4. We understand that maturity is November of '23. It becomes current before the end of the year. So we're absolutely focused on it. No updates at this point in time, but there are various paths for us to take to address that in the near future.
John White: Okay. I'll pass it along.
Operator: At this time, we have no further questions in the queue. So I would like to turn it back over to Martyn for any additional or closing remarks.
Jason McGlynn : Thank you. I'll start. With limited amount of coverage that we have from the analyst community, we do get a number of questions from investors. So we wanted to bring some of that forward and encourage investors to send along additional questions on habit that we can address on the call. So I'll go ahead and ask a couple of questions here and Martyn and myself can go about addressing those as we can and move this thing forward. One of them that seems to be a highlight of a number of people is the LOPI and how we recognize it but then also, how the calculation is for what we get paid on. So I'll let Martyn address that, and I'll expand it as we kind of roll forward.
Martyn Willsher: Certainly, as we've previously disclosed, it's -- basically, we're paid at roughly $40 a barrel for a certain volume. That works out to approximately $4.4 million per month. It is recognized based on when it's "approved." And due to kind of the -- as we kind of move through the process, sometimes we get a little ahead. Sometimes, we get a little behind. But that's why you've seen 4 months in 1 quarter and 2 months in another quarter. We're hoping that the process has kind of streamlined now the way we're just doing 3 months every quarter through the -- until we get it back online. But it is -- right now, that is kind of the process. Anything else?
Jason McGlynn : The only thing I'll add is the $40 a barrel, that is a contractual number that was set at the time the policy was put in place. The policy that applies to this incident was put in place in October of 2020. We were in the middle of our insurance renewal at the very beginning of this incident, so it hadn't adjusted at this period of time. And if you think back to what commodity price was in that window, it's set somewhere relatively close to what that is. So that's how the calculation of $40 a barrel comes about. All right. The next question --
Martyn Willsher: I'll add one more thing. Obviously, this has come up before. But just to clarify, obviously, there's a big difference between $40 and what the actual price has been. That's clearly a big part of our litigation against the ships as we lost revenue caused by the damage that they inflicted on our pipeline. So obviously, while there's no guarantees or timing that I can put to that, that missing revenue piece is obviously a very large amount. And it will continue to grow until we get back online, and that is key to one of the major parts of our litigation against the ships.
Jason McGlynn : Perfect. And another question that comes up quite a lot is our hedging strategy and what we're looking for from forward hedges. Historically, we've had a little bit higher hedge percentage and hedged a little bit further out. So just want to address that, and I'll let Martyn start and I'll expand as well.
Martyn Willsher: Sure. I think if you -- what you've seen, as you flip it from the first half of the year, the first half of the year was by far the most punitive to us on a hedging perspective. As we flipped into the second half of the year, I think you'll see the hedging percentages have dropped materially. That's partially due to fewer hedges. It's also partially due to an increase in production, and that flows through all the way through 2023. So we've been trying to preserve as much upside as we can. Even our hedging strategy has been predicated around -- I think, all of our hedges on gas, for example, in '23 are actually collars, not swaps. Some of them are extremely wide band so while you may have a negative mark-to-market on it, it doesn't mean it's going to cash settle with any kind of negative payment. So long story short, we are looking to kind of preserve as much upside into the future as we can. And we're hedging to try to preserve that upside as we go forward.
Jason McGlynn : Yes. The only thing I'll add is, when we look further out, we do have hedges through 2023 at this point. And in normal course, we'd be looking to add more into 2024 and start layering some base-level hedges for participation due to the credit facility and where we're at on the mark-to-market with some of the banks. It's a little difficult to get credit out through 2024. So that's something that we're focused on and working towards addressing as we extend the maturity on the RBL facility or do something a little bit different there. So that's kind of the reasoning why you're not seeing any hedges placed for 2024 at this point in time, but also a catalyst for why we're wanting to address the RBL facility or just one asset. But that's really it. I think we know -- through our prepared remarks and John's questioning, which was great, we've addressed a lot of the questions that we received. But this is something that we will continually do as we roll forward on these conference calls. So we invite anybody to send in questions and we'll try to highlight 3, 4, 5 of them on every conference call. But I'll leave it to Martyn to address some final closing comments.
Martyn Willsher: I'd just like to say thank you once again for everyone who participated in the call today. We -- the team work hard to move things along with Beta and obviously, very focused on the remaining assets as well and continue to look forward to a very strong second half of the year as demonstrated by our increased guidance. Thank you all for participating today.
End of Q&A: